Operator: Good afternoon and welcome to the Equinix Fourth Quarter Earnings Conference Call. All lines will be able to listen-only until we open for questions. Also today's conference is being recorded. If anyone has objection, please disconnect at this time. I'd now like to turn the call over to Katrina Rymill, Vice President of Investor Relations. You may begin. Thank you.
Katrina Rymill - Equinix, Inc.: Good afternoon and welcome to today's conference call. Before we get started, I'd like to remind everyone that some of the statements we'll be making today are forward-looking in nature and involves risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identified in today's press release and those identified in our filings with the SEC, including our most recent Form 10-K filed on February 26, 2016, and 10-Q filed on November 4, 2016. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it's Equinix's policy not to comment on its financial guidance during the quarter, unless it is done through an exclusive public disclosure. In addition, we'll provide non-GAAP measures on today's conference call. We provide a reconciliation of those measures to the most directly comparable GAAP measures and the list of the reasons why the company uses these measures in today's press release on the Equinix Investor Relations page at www.equinix.com. We have made available on the IR page of our website a presentation designed to accompany this discussion along with certain supplemental financial information and other data. We'd also like to remind you that we post important information about Equinix on the IR page from time-to-time and encourage you to check our website regularly for the most current available information. With us today are Steve Smith, Equinix's CEO and President; Keith Taylor, Chief Financial Officer; and Charles Meyers, Chief Operating Officer. Following our prepared remarks, we'll be taking questions from sell-side analysts. In the interest of wrapping this call up in an hour, we'd like to ask these analysts to limit any follow-on questions to just one. At this time, I'll turn the call over to Steve.
Stephen M. Smith - Equinix, Inc.: Okay. Thank you, Katrina and good afternoon and welcome to our fourth quarter earnings call. 2016 was a pivotal year for Equinix. We're capturing a shift to the cloud, expanding our global reach and scale, growing interconnection and delivering increasing shareholder returns. We are operating at the intersection of some of the greatest technology trends in our lifetime. The digital transformation driven by cloud services is shifting compute, storage and networking to the edge, which plays into our core advantages created by dense digital ecosystems and our global scale. Cloud is a major driver of our business and in 2016 we strengthened our momentum in capturing the cloud-enabled enterprise, positioning ourselves for continued success in this critical area. We are the market share leader in the vast majority of our 41 markets and we're scaling significantly faster than our peers. We've invested over $17 billion in capital in our platforms since our founding with over $10 billion in acquisitions, including the Verizon assets, and the degree of difficulty to replicate what we've built is extremely high. Interconnection today is more important than ever. With our Telecity acquisition, we now have over 230,000 cross-connects and the leading position in the Internet exchange market, further demonstrating the strength and power of our interconnection platform. We capped the year off by entering into a definitive agreement to purchase 29 Verizon data centers, increasing capacity in many of our key markets in North America and South America, further enhancing our interconnection density, and accelerating our scale and relationships in the government and energy sectors. Without a doubt, 2016 was a banner year and positions us to continue to deliver on the promise of Platform Equinix as the place where opportunity connects. Our differentiated platform continues to drive our financial performance and we delivered another year of record bookings activity. As shown on slide three, we generated over $3.6 billion of revenue in 2016, up 14% year-over-year on an organic and constant-currency basis. We delivered over $1.65 billion of adjusted EBITDA, continuing to strengthen our margins while investing significantly in the business and expanding our addressable market. This drove AFFO growth of over 35% year-over-year on a normalized and constant-currency basis, exceeding our prior guidance. For the fourth quarter, we had a great finish to the year, delivering our best-ever bookings with particular strength in enterprise, a key point of focus for the business. We added seven Fortune 500 customers this quarter, including a global clothing and accessories retailer and multi-national food manufacturing company and an American oil and gas operator. We've now captured over one-third of the Fortune 500 and a quarter of the Forbes Global 2000 companies and are seeing significant land and expand behavior with these critical lighthouse customers. We saw our highest growth coming from three region deployments as customers leverage our unparalleled geographic reach. This quarter, over 56% of our revenue came from customers deployed globally across all three regions and over 82% from customers deployed across multiple metros. Next, I'd like to provide more detail on our interconnection services and review acquisitions and organic development. Starting with interconnection. Interconnection revenues grew 21% year-over-year on an organic and constant-currency basis, significantly outpacing colocation revenues. The Telecity acquisition brought us a number of interconnection rich sites and we're now including in our count approximately 35,000 cross-connects from Telecity. As the Telecity business converts to our IT systems platform through 2017, we'll continue to refine this count and we expect these sites will continue to contribute additional cross-connect and interconnection revenue growth. We also saw adoption of our cloud exchange with robust growth of ports, virtual circuits and traffic and now have over 625 customers using this platform to facilitate hybrid cloud as the architecture of choice. Our Internet exchanges also saw healthy growth in the quarter, with considerable provision capacity and traffic, fueled by strong underlying demand trends. Turning to acquisitions, in 2016, we significantly extended our scale and reach with the Telecity and Bit-isle acquisitions in Europe and Japan, and we closed out the year ahead of plan with our synergy targets. We're making great progress with our integration efforts around these assets, and are excited about the go-forward potential for 2017 growth and beyond. We continue to be active on the M&A front, including the recent purchase of an additional data center in Slough, west of London. This facility is in close proximity to Equinix's existing Slough data center campus, and will help meet growing demands for digital infrastructure connectivity in the United Kingdom and Europe, while allowing us to redeploy CapEx to other key markets. The transformative acquisition in 2017 will be our $3.6 billion acquisition of Verizon's U.S. and Latin America data center portfolio, which we expect to close midyear. This is a unique opportunity to expand our Americas presence with network and enterprise-rich assets, and add core strategic hubs, including Miami's NAP of the Americas and the Culpeper campus in Virginia, which has significant traction with government customers. We expect this to be a great acquisition for us, adding scale in new markets, combined with cash flow generation that will be accretive per share on day one, excluding our anticipated transaction and integration costs. With the expected completion of the Verizon asset acquisition and including our recently-owned open data centers, Platform Equinix will stand across now 179 data centers, 44 metros in 22 countries. Turning to our development activity, we continue to invest and expand globally, putting to work over $1.1 billion in CapEx in 2016. We have 19 announced expansion projects underway, as we respond to strong supply demand conditions across all of our operating regions. This quarter, we are moving forward with five additional expansions in Amsterdam, Chicago, Dubai, Rio de Janeiro, and Toronto, totaling $175 million of capital expenditures. Through expansion on owned land and selected purchase of assets, we continue to increase our asset ownership, advancing toward our target of over 50% of revenues from owned assets. This quarter, we bought our Rio de Janeiro 2 facility in Brazil, as well as our Amsterdam 7 facility in the Netherlands. With the Verizon asset acquisition, where the majority of the data centers are owned, revenues from owned assets will move up to 40% by midyear. Our capital investments are delivering very healthy growth and strong returns as shown on slide four. Revenues from our 70 stabilized IBXs grew 5% year-over-year, largely driven by increasing cross-connect and power density. These stabilized assets are generating 32% cash-on-cash return on the gross PP&E invested and utilization remained at 87%. In the coming quarters, we'll expand this tracked metric to include additional stabilized data centers from Telecity and Bit-isle. Now let me cover quarterly highlights from our industry verticals, starting with the networks. This vertical experienced substantial bookings growth led by the Asia-Pacific region, with expansions across wireline and wireless providers, including BT Global Services, Comcast, CenturyLink, China Unicom, Orange Business Services, and Verizon. We continue to nurture and expand our network ecosystem with a focus on cable operators, satellite and wireless providers, as they invest in their infrastructure to address demand for cloud, mobile and digital services. We also are maintaining significant momentum as a strategic partner with new submarine cable projects, and are winning additional edge deployments. The financial services vertical experienced strong bookings, led by the Americas and our diversified penetration of this vertical beyond electronic trading into banking, wealth management and insurance. The insurance sub segment continues to see strong growth, with three of the top five insurance providers expanding with Equinix this quarter. Growth with these providers is being driven by a shift to cloud-based self-service, risk analytics being distributed to multiple locations, and requirements to manage distributed data due to privacy and regulations. Beyond insurance, key wins included AmeriHome Mortgage, a top-15 U.S. mortgage company, using interconnectivity solutions to provide low latency resiliency, Boeing Employees Credit Union, a financial cooperative, and Eton Park Capital, a global investment firm. In the content and digital media vertical, growth was led by the advertising and CDM segments. We continue to nurture and expand the advertising exchange ecosystem globally, adding premier ad-tech companies such as Index Exchange. We are also capturing traditional media and entertainment players, making the digital transition – helping them make the digital transition, winning new disruptive entrants that provide over-the-top content and capturing key deployments with large broadcast companies and streaming media solution providers. The cloud and IT services vertical achieved solid bookings buoyed by our performance in Europe. We are building our position as the home of the interconnected cloud by increasing cloud density with the major infrastructure-as-a-service players, such as AWS, Microsoft, IBM SoftLayer, Google Cloud Platform and Oracle, who on average have a presence across 15 markets with Equinix and continue to grow. In addition, software-as-a-service providers are now joining our cloud exchange to provide the performance and security benefits of private interconnection to their customers and this year, Salesforce.com, SAP and ServiceNow are deploying across multiple markets. Security SaaS providers are also offering their services on cloud exchange, including F5 and Incapsula as well as unified communication providers including BlueJeans, RingCentral and others. Turning to the enterprise, this critical growth vertical achieved record bookings, led by Asia-Pacific and three-region deployments. We captured new enterprises that are embracing interconnection-oriented architectures by redesigning infrastructure to directly and securely interconnect their people, locations, clouds and data. Wins included Philips, a global 400 manufacturer connecting to AWS, Azure and SoftLayer in multiple locations, as well as expansions from Walmart, who is further investing in ecommerce by optimizing its network topology connecting to Azure via our cloud exchange. And finally, we continue to enhance our go-to market engine through both direct and indirect channels. We are steadily adding between 150 and 200 new customers a quarter with cloud and enterprise accounting for two-thirds of these adds. We now have over 8,500 customers and expect growth in enterprise wins to significantly expand this number over the coming years. Our channel program now accounts for roughly 15% of total bookings with two-thirds of this activity from resellers. In 2017, we will focus our channel efforts on driving greater partner productivity through program simplification, enhanced partner activation efforts and joint offer creation, targeted largely at the massive market for the cloud-enabled enterprise. So let me stop here and turn it over to Keith to cover the results for the quarter. Keith?
Keith D. Taylor - Equinix, Inc.: Thanks, Steve. Good afternoon to everyone. As Steve highlighted, we're very pleased with the overall performance of the business and our momentum sets us up nicely for 2017. We're tracking well against the expectations laid out at the 2016 Analyst Day, seeing healthy revenue growth, improving adjusted EBITDA margins and strong flow through to AFFO. I'll start my prepared remarks with a review of the full-year 2016 and then offer some high-level commentary on 2017. Then I'll toggle to our acquisitions and finish with some fourth quarter highlights. So starting with revenues, we reported revenues of over $3.6 billion for 2016, a greater than 14% year-over-year organic and constant-currency growth rate, as we benefited from our global reach and scale and our healthy interconnected ecosystems. For 2017, we expect to deliver normalizing constant-currency growth of greater than 11%, which now includes the slower growing, yet highly-accretive acquisitions in our run rate. As I stated, we will enter 2017 in a very strong position and we expect to deliver higher levels of bookings and strong incremental revenue in the year compared to 2016, after adjusting for the LinkedIn churn. Switching to foreign currencies. FX remains volatile and the U.S. dollar has continued to strengthen against many of our operating currencies, resulting in a net $86 million headwind to our as-reported growth in 2017. Our current FX hedges have proven to be very effective during this volatile period, meaningfully offsetting an otherwise even larger headwind. For 2017, we've already hedged over 55% of our EMEA revenues and cash flows, and we expect our hedge position to increase over the year, as we continue to integrate Telecity entities into our EMEA business. In 2016, we improved our normalized and adjusted EBITDA margin to 47.5%, an 80 basis point improvement over the prior year, making progress towards our long-term 50% adjusted EBITDA margin target. We expect to deliver additional margin improvement in 2017, yet we continue to invest in growth initiatives, while maintaining appropriate discipline to scale the business opportunity in front of us. For 2017, we expect our consolidated adjusted EBITDA margins to be 47.6%, excluding integration costs or 46.8% on an as-reported basis, which includes $16 million of higher utilities and property taxes in the EMEA region. For 2016, our normalized AFFO, which excludes the impact of the Telecity FX loss and the integration costs was $1.196 billion, significantly higher than expected for the year. Looking-forward on a normalized and constant-currency basis, 2017 AFFO is expected to grow 13% over the prior year, reflecting strong flow through from adjusted EBITDA to AFFO. On an AFFO per share basis for 2017, we expect to deliver $18.07 per share on a normalized basis, or $17.19 per share on an as-reported basis, which includes the negative carry from our December financing, the FX headwinds, our integration costs, but that does not yet include the benefit expected from the Verizon asset acquisition. We have assumed a weighted average 72.7 million in common shares outstanding on a fully-diluted basis. Looking at 2018, including the full-year benefit from the Verizon asset acquisition, we expect our AFFO per share to continue to show strong momentum. Let me discuss the acquisitions. We expect the Verizon transaction to be a highly compelling acquisition that will expand our market position across the Americas region. From a financial perspective, we expect these assets to generate an estimated $450 million in revenues for the first 12 months post close, driving adjusted EBITDA margins of 60% accretive to our current operating levels. As we move to close and integrate this deal, the increased scale and reach will enable continued margin expansion, while creating significant value for our platform as well as our shareholders. With respect to Telecity and the Bit-isle acquisitions, the integrations have gone very well, thanks in large part to our committed team and leadership. We're on track to achieve our targeted cost synergies by the end of 2017 with the majority of the cost savings already captured in the Q4 run rate. We are more than halfway through the Telecity integration having completed the integration of the Dutch, UK, German and Irish business units, and we expect to complete the remaining countries before the end of the year. As we enter into another busy year on the integration front, we expect to incur approximately $30 million in integration costs in 2017, which includes work to finalize the Telecity and Bit-isle acquisitions, as well as $2 million of Verizon asset integration costs for Q1 only. Now turning to the fourth quarter. Q4 was another strong quarter of operating performance with revenues, adjusted EBITDA and AFFO above our expectations. As depicted on slide five, global Q4 revenues were $942.6 million, up 3% over the prior quarter and 13% over the same quarter last year. On an organic and constant-currency basis, Q4 revenues net of our FX hedges included a $6.6 million negative currency impact when compared to the average FX rates used in Q4 – last quarter and a $2.5 million negative currency impact when compared to our FX guidance rate due to the stronger U.S. dollar. Our global platform continues to expand with Asia-Pacific and EMEA showing organic and constant-currency growth over the same quarter last year of 17% and 14% respectively, while the Americas region produced steady growth of 10%. Our as-reported revenues include $138.4 million from our acquisitions, consistent with our expectations. And note, on a going-forward basis, given the substantial integration of the Telecity and Bit-isle businesses, Q4 is the last quarter we will breakout this detail. Our MRR per cabinet yield continues to remain strong. We added 2,800 net billable cabinets and 5,500 net cross-connect additions in the quarter. And starting for the fourth quarter, our metrics now include MRR per cabinet and cross-connects for both the Telecity and Bit-isle acquisitions. Telecity adds 38,500 cabinets to the cabinet inventory at a utilization rate of 78%, with a slightly lower MRR per cabinet, while Bit-isle adds 6,300 cabinets at a 52% utilization rate. We will continue to refine these acquisition metrics as we complete our integration efforts. Global adjusted EBITDA was $436.5 million, up 3% over the prior quarter and 16% over the same quarter last year on an organic and constant-currency basis, despite the higher-than-planned commission expenses related to our record bookings this quarter. Adjusted EBITDA includes approximately $15 million of integration costs. Our adjusted EBITDA margin was 46.3%, a step-up over the prior quarter, largely due to the acquisition-related entries that lowered the EMEA's adjusted EBITDA in Q3. Our Q4 adjusted EBITDA performance net of our FX hedges had a $2.1 million positive benefit compared to the average FX rates used last quarter, and a $3.7 million positive benefit when compared to our FX guidance rates. Global AFFO was $294 million, up 3% over the prior quarter, largely the result of improving adjusted EBITDA. AFFO on a normalized and constant-currency basis increased 24% over the prior year. Moving to churn. Q4 global MRR churn was 2.4%, consistent with our targeted churn range. Looking at 2017, we continue to expect MRR churn to average 2% to 2.5% per quarter, which includes the elevated churn of approximately 3% in Q1 related to the final phase of LinkedIn's bifurcation strategy. As expected, LinkedIn churned 1,300 cabinets out of the Americas region at the beginning of the quarter, while retaining their interconnect-rich footprint at Equinix. The team is working hard to backfill the space with line of sight to a number of ecosystem-enhancing deals and we look forward to updating you on our progress. I'd now like to provide highlights on the regions whose full results are covered on slides six through eight. The Americas region had its second highest bookings quarter of all time, driven by our content and financial segments, with ongoing strong outbound production to the other two regions. EMEA delivered a record bookings quarter with particular strength in our German and Dutch markets and strong interconnection growth. On the cost side, we're seeing higher utility costs in the UK, offset in part by our energy hedges. Asia-Pacific had record bookings, remained our fastest growing region with strong momentum in our Singapore and China markets, driven by our network and enterprise verticals. Interconnection revenues continued to outpace our overall growth of the business. The Americas, Asia-Pacific and EMEA interconnection revenues all moved up to 24%, 12% and 8%, respectively of recurring revenues or 16% on a global basis. As I look in the balance sheet, please refer to slide nine. We continue to strengthen our balance sheet raising €1 billion in the fourth quarter. This debt raise not only partially funded the Verizon asset acquisition, but also allowed us to place a natural euro-based hedge into our capital structure. This euro denominated debt in combination with the $2 billion bridge financing, our unused revolving line of credit and the cash on the balance sheet provide us great flexibility to fund the Verizon deal. It remains our intention to raise both additional debt and equity to finance the Verizon transaction, while appropriately balancing our capital structure to maintain our strategic and operational flexible. Unrestricted cash and investments increased to approximately $1.82 billion, after taking into consideration the euro-based financing funded in early January 2017. Our net debt leverage ratio net of our unrestricted cash was about 3.5 times our Q4 annualized adjusted EBITDA. Now switching to AFFO and dividends on slide 10. For 2017, we expect our as-reported FFO to be greater than $1.249 billion, a 16% year-over-year increase. On a normalized basis, AFFO would be greater than $1.313 billion, demonstrating the continued strength of our operating model. Turning to dividends, in 2016 we returned approximately $500 million back to our shareholders. Today, we announced our Q1 dividend of $2 a share, a 14% step-up over the prior quarterly cash dividend per share. For 2017, our projected total cash dividends will increase to approximately $575 million, a 17% increase over the prior year. We continue to believe that growth in our AFFO will be the primary ingredient for steadily growing cash dividend. Now looking at capital expenditures, please refer to slide 11. For the quarter, capital expenditures were $386 million, including recurring CapEx of $36 million, above our guidance expectations largely due to timing of payments to our contractors, as well as an acceleration of spend in the EMEA region. During the quarter, we opened three new IBXs; São Paulo III, adding much needed capacity to this important Brazilian market; Dubai II, a smaller build in support of a critical cloud footprint; as well as Abu Dhabi I, our first data center in the new metro, as we expand our presence in the Middle East. And given our strong pipeline, our firm yield, and the healthy returns, we continue to invest in new capacity with expected 2017 capital expenditures to range between $1.1 billion and $1.2 billion for the year. And finally, please refer to slides 12 through to 15, as these slides bridge the 2017 guidance from our normalized 2016 performance. So with that, let me turn it back to Steve.
Stephen M. Smith - Equinix, Inc.: Okay. Thanks, Keith. Let me now cover our 2017 strategy on slide 16. To sustain our success and future proof our position, our strategic priorities are centered on pressing our competitive advantage to drive growth, and at the same time investing to catch the next way wave of market opportunity. We're pressing our positional advantage by capturing the cloud-enabled enterprise and extending our global footprint. Our initiatives will remain focused on building cloud density, creating and deploying innovative product solutions, and enabling the adoption of hybrid and multi-cloud. We'll continue to build out our position as a marketplace, hosting the on and off ramps to clouds and networks. We also continue to expand our market leadership globally through acquisitions. In 2017, we will focus our energy on successfully completing the integrations of Telecity and Bit-isle, and then shift our focus to Verizon mid-year. We will create future value through both organic and inorganic investments, and remain – and we'll remain disciplined in evaluating the strategic game board with a focus on emerging markets. Over the longer term, we are working to develop the next generation of interconnection and cultivating our existing ecosystems, while continuing to develop new ones by harnessing the technology disruption going on in the market. We are proactively conducting market-sensing activities with our business development resources in areas such as the evolving public cloud architecture, wireless and IoT edge computing, subsea cables, next generation security and storage and electronic payments. With over 6,000 Equinix employees, we continue to scale our organization and people. We are building a high performance culture paired with operational excellence and I continue to be very optimistic about our future. Turning to 2017, we expect another year of solid revenue growth, improving margins and strong flow through to AFFO and our guidance is summarized on slide 17. The growth, scale and the structure of our business are driving increased AFFO and ultimately cash flow and dividends. And we are well positioned for both a great 2017 and 2018 and beyond. So, in closing, we are pleased with our performance and remain confident that we can extend and leverage our market leadership to build large scale digital ecosystems that deliver compelling value to customers and exceptional returns to investors. We look forward to a busy 2017, as we integrate our acquisitions, grow our global platform, enhance our portfolio of services and increase our reach and relevance to the cloud-enabled enterprise. Our market leadership is driving strong financial performance and allowing us to invest in the business to capture emerging market opportunities and enable the innovation and adaptability to future proof this company. So let me stop here and we'll open it up for questions. I'll turn it over to you Kerry.
Operator: Thank you. Our first question is from Jonathan Atkin of RBC Capital Markets. Your line is now open.
Jonathan Atkin - RBC Capital Markets LLC: Thanks. So, I was interested in where things stand with respect to the Verizon deal approval and what are the major factors affecting the timing? Secondly, on EMEA for Keith I suppose, I was wondering about the Telecity cross-connect count and are you finished taking inventory or is that reported number likely to grow as a result of finishing the IT integration of more of the Telecity markets? Then, I've got a follow-up. Thanks.
Stephen M. Smith - Equinix, Inc.: Jonathan, I'll start. This is Steve. I'll start with the Verizon activity. So, we're on a very good pace collecting the information through the final due diligence. As Keith mentioned in his script, we're still aimed at closing mid-year and we still intend to go to the market to raise equity and debt and all the collection of the information we need on the financials is on track. So, we're exactly where we thought we'd be at this point.
Keith D. Taylor - Equinix, Inc.: And Jonathan, let me just double back then on the second question. As it relates to the EMEA cross-connects, certainly as I said, we brought four of the larger entities into our systems, our platform, if you will, so there's a number of other entities or legal entities that we will be bringing in over time. I would tell you that this is a base we think that has the potential certainly to go up to the right. But we'll continue to update you as we layer in more entities into our platform. An example of that is France is not yet included and as you start to move across Europe, some of the small emerging markets are not included either. So we'll give you a further update as the quarters proceed.
Jonathan Atkin - RBC Capital Markets LLC: And then – and I was interested in this new logo capture, you mentioned a lot of interesting successes recently. And are there any trends that you're seeing in the legacy business or perhaps as a result of pulling in Telecity, Bit-isle or prospectively Verizon that would lead you to think the rate of growth in new logos would change at all during the coming year?
Charles J. Meyers - Equinix, Inc.: Yes, Jonathan, this is Charles. I think we continue to see across the board really good strength in cloud and in enterprise, as we said in the script that that was about two-thirds of our new logo captures coming from those two segments. And I think that really represents with the state of the market in terms of hybrid cloud, multi-cloud really being embraced as sort of the architecture of choice. And I think what we're seeing is that certainly with Telecity, we have gotten a pretty significant uptick in customers, we're cross selling those to the broader global platform, and you really continue to see good strength in enterprise across all three operating regions. In fact, as we noted, we had record enterprise bookings. So, we expect that momentum to continue very – the hybrid cloud trend is very, very, strong and pronounced and we feel good about that. And then – and cloud is also continuing to be good and (32:57) we see that not only in terms of the revenue growth that's coming from cloud service providers, but also new logo capture in that area, which we're really pleased with.
Stephen M. Smith - Equinix, Inc.: Jonathan, the only thing I'd add on the new logos, we are seeing – the channel is definitely a feeder for us for new logo acquisition with that 15% of bookings coming from channel. It's generating new logos for us around the world and we expect that to continue also.
Jonathan Atkin - RBC Capital Markets LLC: Thank you.
Operator: Thank you. Our next question is from Michael Rollins of Citi. Your line is now open.
Michael I. Rollins - Citigroup Global Markets, Inc.: Thanks. Was wondering if you could talk a little bit more about the margins and are you seeing just the need to incrementally invest in some of these sales areas or in overhead as you continue to expand the company and is there a portion of this investment that might be one-time to 2017, beyond the integration expenses and the things that you flagged as sort of highly unusual for transactional purposes.
Keith D. Taylor - Equinix, Inc.: Yes. Michael, so the – as it relates to the margins themselves, certainly there is a number of sort of things that are taking place in fiscal-year 2017. As we alluded to, so there is some modest margin improvement this year, but there is a number of investments we're making, some of it in growth initiatives and that's really about continuing to augment our sales force and that's an area of continued focus for us. Now the second area as I said, there are some anomalistic cost increases related to our European market, that's going to impact us by roughly $16 million this year. The other thing that is certainly worthy of note is, the level of expansion drag in the business has continued to scale. We had more construction projects and openings in late 2016 and into 2017 than we've had before and so that's another area that we'll continue to enjoy the benefits from as we rollout that inventory and start selling against it. And then the last piece is that, as I referred to the LinkedIn churn happened from day one in the quarter effectively and so there is always – there is a drag associated with that. And until we take that inventory, we said we have great line of sight into some great eco-enhancing opportunities – ecosystem-enhancing opportunities, but until we backfill that relatively significant churn event, it has a net drag effect in the business, so you could call it one-off or one-time. As we alluded to, it's a $6.8 million impact to the first quarter on a revenue basis alone and so as you can appreciate, because we haven't backfilled that yet, you're having a net impact against the margin profile. So those are the four key areas that I want you to walk away with. I think the most important thing that I would tell you is, as you think about Q1, obviously there is a lot happening in Q1. Number one, what's happening with currency, we've sort of earmarked that in our bridges. The second piece is the LinkedIn churn, as I referred to, again is relatively one-off and I think you'll see churn abate through the latter part of the year, but the other part is that we have costs that are incurred in Q1. There is $18 million of costs as we said that are very seasonal in orientation and when you actually take those costs, you infuse it in Q1 and then you think about what's going to happen for the rest of the year, by and large you're going to see SG&A relatively remain flat through all the remaining quarters and what that will tell you is, as our revenues continue to scale and we think that the net revenue contribution will go up quarter-over-quarter on a net setup basis, the margin profile and the EBITDA impact will be quite substantial as we go through Q2 through Q4. So again, there's some anomalies that are taking place in Q1, but we're very confident that we are in a very good position given our record booking position of Q4 that 2017 is going to be a great year for us and it'll be a nice entering into 2018 once we load in the Verizon acquisition.
Stephen M. Smith - Equinix, Inc.: Probably, Keith was just commenting on the sales force, Mike. The sales force expansion is probably in the order of magnitude – it's in the order of magnitude of 10% roughly the quota bearing head increase we're going to do this year, so we'll go from roughly 370 quota bearing heads somewhere into the 415 to 420 head count. So that – of that – one of the four things Keith talked about is that order of magnitude for the sales engine.
Michael I. Rollins - Citigroup Global Markets, Inc.: And just one other question, on slide 26 of the deck, you layout the same store organic performance. In particular, you focused on the stabilized assets as one category, and you show year-over-year collocation growing around 2%, interconnection growing around 15%. I was wondering if you could share just how much of that is price versus volume for those two categories?
Keith D. Taylor - Equinix, Inc.: I don't know that I have that in front of us, Mike, but I would tell you that I think it's probably more driven by volume. I think that we continue to see unit adds into our stabilized assets as people continue to find additional interconnection and opportunities that they're going to get a lot of value out of. Pricing has been stable, and I think that we do have price increases that roll through across people's service portfolio both on space, power and interconnection. But I would expect that it is more driven by unit volume. And then we do of course have power is also a part of the increases in power utilization in those facilities, also add to that. So we continue to guide you in the 4% to 7% range, it sort of moves around a little bit based on timing of installs or churn that happened in those, but again, really strong performance, particularly in the interconnection line on the stabilized assets.
Michael I. Rollins - Citigroup Global Markets, Inc.: Thanks very much.
Stephen M. Smith - Equinix, Inc.: Sure.
Operator: Our next question is from Jonathan Schildkraut of Guggenheim Securities. Your line is now open.
Jonathan Schildkraut - Guggenheim Securities: Great. I'd like to dive maybe a little bit more on what's happening strategically, in light of the record bookings and the record bookings under the enterprise group. I was wondering if you might give us a little bit of color as to what's pulling those enterprises in, particularly as you talk about adding more SaaS to the cloud exchange that is, is it infrastructure, is that still the big drawer, or are you seeing more enterprises come into the data center in pursuit of some of the SAS platforms that you're setting up? And then sort of as a corollary, you mentioned that enterprise is very strong in Asia-Pac, and I'm just wondering if there is anything going on in that region in terms of cloud adoption that might be sort of instructive and helpful in terms of thinking about adoption in other regions of the world? Thanks.
Charles J. Meyers - Equinix, Inc.: Hey, Jonathan, it's Charles. I'll take first crack at it here and these guys can jump in as desired, but I think that we're really seeing this whole interconnection-oriented architecture and the thinking around that really resonate with the enterprise customer. There is a number of used cases that I think are leading the way, when we talked about in the past is WAN optimization, people simply being able to find a better way to skin the cat in terms of their wide area network in terms of both cost and performance by using our network dens facilities. And then, really the hybrid-cloud, multi-cloud value proposition in terms of that as the architecture of choice, and that may often start as simply a cabinet or two in a number of locations to gain high bandwidth secure access to public cloud, but then over time it tends to evolve to where they place private infrastructure immediately adjacent to that to begin to implement the private area – the hybrid cloud value proposition. And then, they begin to use cloud exchange to essentially take in new clouds to really take the multi-cloud element as well. So, we definitely see people, the number of clouds on average that they're consuming is increasing, and there is a strong evidence that we see in our bookings that are demonstrating that, and we see our – the analysts saying that they think that's going to continue to increase based on what they're seeing – hearing and seeing from CIOs. In terms of the geographic mix, honestly we're seeing pretty good strength of that across all of our geos and cloud adoption does vary a little bit. I would say in Asia, for example, you mentioned we are seeing it strong there. Australia is a bit of an outlier to the upside there. They tend to be a bit more innovative and out-front, and so we're seeing really good success there. Bit-isle has actually allowed us a lot more momentum in the enterprise segment in Japan and more feet on the street to call on them. So, all-in-all really just a strong reinforcement of the strategy around building the cloud-enabled ecosystem, capturing key strategic control points on the supply side and translating them into really strong momentum on the demand side with enterprise.
Jonathan Schildkraut - Guggenheim Securities: All right.
Stephen M. Smith - Equinix, Inc.: Yes. I think that's absolutely right. I'd add one or two things to that, Jonathan, just I think as we've talked about in the past there is – a lot of companies we're talking to are re-architecting their IT from a centralized set up to a distributed setup and that's drawing them to Equinix because of our global platform, and so as they bring their apps and their data and their clouds and their network connections closer to users, we look very attractive to them. And now, we're even being pulled into more security and data analytics conversations, which again are crossing many, many locations closer to their users. So, I think the combination of what Charles said and some of the broader strategic implications of becoming more and more decentralized is playing into our hands.
Jonathan Schildkraut - Guggenheim Securities: Great. Thanks for taking for the question, guys.
Stephen M. Smith - Equinix, Inc.: Thanks, Jonathan.
Operator: Our next question is from Amir Rozwadowski of Barclays. Your line is now open.
Amir Rozwadowski - Barclays Capital, Inc.: Thanks very much. I was wondering if we could unpack some of the moving pieces with respect to your guidance here. I noticed the commentary obviously in the bridge, the law of large numbers in the LinkedIn churn, but clearly when we think about Telecity and Bit-isle as contributors, when do you think they can get back to sort of core Equinix growth levels. And I'm trying to understand sort of the outlook right now as it relates to the bookings commentary that you mentioned in each of those regions and clearly there's strong activity in both of those regions, you now have an expanded footprint in both of those regions. And just trying to understand what kind of impact that's having in your near-term growth?
Charles J. Meyers - Equinix, Inc.: Yes, Amir. Look it's a great question that you're asking. Certainly something we spent some energy thinking about. First and foremost, you have to appreciate that we sell against a platform. And now that you've got Bit-isle and Telecity fully integrated into our business, it's going to highest and best use of our assets. So, we're indifferent to where we actually put the inventory, is this going to be the right customer, right application, right data center, if you will. Having said that though, I think one of things that I think is important, let's use Bit-isle as the example. We said that for all intents and purposes, they'd remain relatively flat for a period of time because they're going through some elevated churn associated with some decisions they made prior to our acquisition. And so we are very comfortable at the low rate of growth that they're going to have knowing over time as we fill up, if you will, the Equinix organic IBXs, we would then sell into their platform. And so from our perspective, we don't have a lot of high, if you will, high expectations for Bit-isle on what they're going to – how they're going to get to our level of growth. What we know is we're going to again make sure it's highest and best use of our assets in the Japan market. But I'd be remissive if I didn't say though, when I look at whether it's Telecity or Bit-isle, the relative performance of those assets in our platform and our ability to go after not only the cost synergies, the potential for the revenue synergies, the abilities to defer CapEx, the tax line, and just overall the expansion of the platform, it's allowed us – it's put us in a position to be more accretive than we originally anticipated and a higher AFFO than we – that we originally thought we'd get to. Now, let me just flip to Telecity. Telecity in and of itself, again is roughly 78% utilized. We have to recognize that again it's a number of assets over many different markets, and so we're going to continue to focus on putting the right sort of customer application into the right data center. And so, to say that we don't worry about whether or not they get up to, if you will, our level of growth, what we're more worried about is highest and best use of the assets to drive as much shareholder value into that acquisition decision. And so that's how I'd like to leave it. Again I recognize, we sell a platform, a platform in and of itself is greater than 11% growth. And as I said, we're going to do more bookings this year than we did in 2016, and absent unfortunately the LinkedIn churn, we'd do more incremental revenue in 2017 and 2016 as well. And so it tells you that the platform is showing more momentum than we've seen ever in our past.
Stephen M. Smith - Equinix, Inc.: Yeah. I'd just add a little bit too in that I think that we are – one of things we've talked about is that we're ahead of our – what we saw as our cross-selling synergy targets. Again, that distinction is going to become less clear as we integrate and sell the global platform. But what I would say is that we feel a high level of confidence that our comfort level and knowledge and confidence around the assets in both directions in terms of people that were Equinix sellers now seeing comfortable selling the Telecity assets and vice versa, we're really have an increased level of confidence that that is occurring out there and starting to really figure out what the best location, best asset for particular customer workloads are. And so I think what we're reflecting in terms of our go-forward view is what we think is going to happen, and we think they're going to – but we're going to continue to gain confidence I think in selling that and continue to see strong overall performance from the platform.
Amir Rozwadowski - Barclays Capital, Inc.: That's very helpful. And then if I can ask a follow-up question. Should we think about the strategy with the Verizon assets in a similar manner? I mean the numbers that you have provided, it's accretive in terms of the margin structure of those assets and as you look to utilize or fully utilize those assets, when it comes to a platform, is it sort of a similar thought process when it comes to monetizing that?
Stephen M. Smith - Equinix, Inc.: Yes. And probably I think again a couple of things to note. Largely, the Verizon assets are in overlap markets, meaning many – there is only a couple of markets that are net new markets to us. But the – and so, I think what they allow for is additional capacity and additional assets that allow us to position in our growth markets where we already have sale force on the ground delivering. And that's a little bit different than Telecity to some degree, but I think a good reason that we would expect we'll get good momentum. And then a couple of specific big adders, which is really gaining strength with NAP of the Americas as a critical interconnection asset and as a gateway to Latin America, and we candidly, based on initial customer response, believe there is some pent-up demand there and people seeing our ability and willingness to continue to invest in that asset in Equinix hands, and we think that's going to serve us very well. And then the government opportunity that it represented in Culpeper, which I think will open up a significant incremental addressable market for us.
Amir Rozwadowski - Barclays Capital, Inc.: Great. Thanks very much for the incremental color.
Stephen M. Smith - Equinix, Inc.: You bet.
Operator: Our next question is from Paul Morgan of Canaccord. Your line is now open.
Paul Burton Morgan - Canaccord Genuity, Inc.: Hi, good afternoon. Just wanted to ask a question about any of one percentage dilution from the law of large numbers in your 2017 revenue guidance. And I want to maybe see if you could put that in context with kind of what you talked about at your Investor Day in terms of your growth momentum through 2020. I mean it seems like, if you look at the same store revenue growth driven by interconnections that seems to be keeping pace, your CapEx is up year-over-year. So, a lot of kind of the drivers seem to be scaling. And so, how do I think about kind of that dilution from the large numbers?
Stephen M. Smith - Equinix, Inc.: Well, Paul, if you can appreciate, we're dealing with a larger base. And certainly as I said, we're selling more, we're booking more, we have more incremental revenues. As I said, albeit it's identified separately on the bridge for you, the LinkedIn churn happened at the beginning of the quarters, $6.8 million impact to Q1 and $27 million impact to the year. All else being equal, clearly we're going to look to backfill it. I'm sorry, the other part is recognizing that when you think about the business in and of itself, the transition from the acquisitions of Bit-isle and Telecity into the base, obviously that had an impact. I said, this year we did organically – roughly 14.3% organic growth, when you actually look at Telecity and Bit-isle, you say you got to take that out and you look at, well I'm not going from 14% and really going from 13% to a number. But the law of large numbers also includes that in its base. And so, when you get to the scale that we're getting to and you have slower growing assets that get infused into the base, we'd be remiss if we didn't actually say, look just because of our scale, this is what's happened to the number. But I'd just go back to what's most important. Are we selling more? The answer is yes. Are we booking more? The answer is yes. Are we better positioned than we've ever been? The answer is yes and you couple that with, I think, our position, not only from a revenue perspective, but where we think we can take our costs over a period of time and how we can scale more cash into the business. Bottom line, I'm very comfortable with what we said at the Analyst Day and where we are on that journey, recognizing that – if you will, recognizing, I said, revenues will be greater over – on a compounded basis greater than 10% over that period. This year, we're saying it's greater than 11%. So, it is going to be greater than 11% all else being equal based on where we're sitting today. And so, we have confidence that we can continue to scale the business at the targets that we had set for the Analyst Day. And I think that puts us in a very good position by the time we get to 2020, particularly when you're throw on the Verizon acquisition and then you hear about some of the opportunities that Charles referred to where we think we can scale it at maybe a greater clip than what they were doing onto themselves.
Paul Burton Morgan - Canaccord Genuity, Inc.: Okay. So, from a like – if you look at your same-store metrics that came up earlier in the call, is there any reason to think kind of where you ended the year, isn't – I know, you provide guidance to it, but a decent kind of run rate for 2017?
Stephen M. Smith - Equinix, Inc.: What – I just want to make sure, Paul, you're referring to what specifically? Are you talking about the...?
Charles J. Meyers - Equinix, Inc.: Stabilized assets?
Stephen M. Smith - Equinix, Inc.: The 5.5% increase, the 5.2% or the gross profit...?
Paul Burton Morgan - Canaccord Genuity, Inc.: Yes, the slide 26. For example, 12% with expansions or 5% without it.
Stephen M. Smith - Equinix, Inc.: As you know, these numbers are going to change quite dramatically by the time we get to Q1, because the number of assets that are going to stabilize and expansion is going to change a little bit. But if you just go back, you peel it all back. There is no reason to indicate why our stabilized assets can't continue to enjoy growth of, as we said, 4% to 7%. On a currency-adjusted basis, this quarter at 5% looks more like 6%. But that said, we understand that colocation tends to be slower growing, but it's the other services that we sell that augment the value of that 87% utilized inventory base. And so from our perspective, we think we can continue to fill up those stabilized assets. Of course, it will be at a different clip than the expansion assets or the new assets. But overall, when you look at across our portfolio, that platform that we get to sell into is second to none and again, we're always going to focus on putting that right application into the right data center, and if sometimes that means it goes into an expansion data versus – sorry, expansion data center versus a stabilized data center, then that we'll do that or vice versa. Again, we're very confident about the insight that we have on the business, the insight that we have in our pipeline and what we think we need to do to drive continued success into that portfolio.
Paul Burton Morgan - Canaccord Genuity, Inc.: Okay. Thanks. Just a quick follow-up on the interconnection. How material is the cloud exchange as a driver and just kind of generally in terms of – what you're seeing from cloud-to-cloud and enterprise-to-cloud kind of abstracting from the network component?
Charles J. Meyers - Equinix, Inc.: Well. Yeah, I think it's beginning to become material financially, but it's significantly material strategically, and I think over time, it's going to be a major driver of how people consume and architect around the hybrid-cloud multi-cloud architecture. So, we are seeing – in fact I've been out in the field quite a bit this quarter, and sitting with both enterprises and cloud service providers, both hyper-scalers and sort of non-hyper-scalers, if you will, who really see cloud exchange as a tremendous opportunity to grab the aggregated demand of enterprises on the other side of that exchange. And so, we're really gratified by seeing what's happening there, the rate of growth of both port count as well as virtual circuits coming on to the platform. And I think, if you look at the scale of that platform already in a relatively short period of time, in terms of ports and traffic growth et cetera, we feel really good about it and it is beginning to become a meaningful contributor, but is a major piece of the strategy.
Stephen M. Smith - Equinix, Inc.: Well, Paul, this is Steve, also if you recall in the prepared remarks, we talked about interconnection revenues growing 21% year-over-year. We take the combined 10 quarters, 11 quarters in a row of cross connects over 5,000 net, add that to the cloud exchange comments Charles just made, add that to the Internet exchange activity we have, it's a major driver for the type of workloads that we're pulling in to these data centers.
Paul Burton Morgan - Canaccord Genuity, Inc.: Great. Great. Thanks for the color.
Operator: Thank you. Our next question is from Colby Synesael of Cowen and Company. Your line is now open.
Colby Synesael - Cowen and Company: Great. Thank you. Two questions. One, on the Verizon transaction, I know you keep on saying mid-2017, I assume that means early third quarter, and I guess to that point I know there is a lot of talk about an equity raise I know that you know investors are focusing on that, is it logical to assume that you'd want to time that closer to when that deal's about to close? And then my second question, in your prepared remarks you mentioned the shift to the edge. And I'm just curious if you feel it like you have the right facilities in the right markets to take advantage of that shift or is that really a broadening of the strategy and it might take you to look at other potential acquisitions in the future? Thanks.
Stephen M. Smith - Equinix, Inc.: Do you want to start, Keith?
Keith D. Taylor - Equinix, Inc.: Yes, Colby, I'll take the first one then I'll pass the other one to Steve and Charles. I think, as it relates to Verizon, again we're seeing midyear, again I don't have better color for you at this point in time of what that means. We're very working very hard to sort out all the conditions that we need to solve for. Suffice it to say, and as Steve alluded to, we're well on our way. There is nothing that causes us any concern. And so, whether you want to do a July 1 close or June 30 (57:22), it really doesn't matter to us from that perspective. I think what's most important for us, particularly in the financing area is getting the – it's a carve out, and because the carve out requires carve out financial statements, and this is a significant acquisition for us, the most important item or the gating item for us to getting to the financing markets is really getting those audited financial statements. As soon as we get those audited financial statements, we'll consider the market conditions as it relates to the data or equity market, and we will execute. But we're not waiting for the close. We're highly confident we're going to close this transaction. And so, the next step really is focusing on when to finance and how to finance it. We have good idea on the how, it's really just about the when. And that when is highly dependent on these financials, and I would just – stay tuned to this one. Again, we're – this is one of our most important areas of focus for the finance organization this year. And we're moving fast to bring this to an end.
Charles J. Meyers - Equinix, Inc.: And Colby, let me start on segments. Steve may have something to add here, but I would say that, when we talk about the shift to the edge, we primarily are talking about moving to the enterprise going from what was traditionally a more centralized glasshouse type architecture to something more distributed where they're having to push infrastructure out to essentially interconnect with both their customers, as well as their vendors, employees, et cetera. And for us, a one man's edge is no man's core kind of thing, but for us it's generally – we're able to meet most of those demands today with our primarily Tier-1 market edge. Having said that, I think that we continue to look at selective expansion of that edge to continue to meet needs. We've talked about, for example, adding markets like in South Africa, a Seoul, et cetera to selectively increase the extent of that edge to meet demand. And I would say that's our near-term focus, and I think we feel very comfortable that we can capture and serve most of the needs of the enterprise in that regard, including by the way IoT aggregation, which we're seeing. Even though that's highly distributed, we're seeing our centers be a very effective sort of location for IoT edge aggregation, even though they're not all the way out towards the devices. Over time, I think we'll continue to revisit that and to the extent architectures and customer needs demand further push out, we'll evaluate that in the context of what that means for our growth and go from there, but I would say right now, we feel reasonably comfortable that our existing Tier-1 edge and some modest expansion to that is getting us a good chunk of the demand that we're after.
Stephen M. Smith - Equinix, Inc.: The only thing I'd add, Colby, this is Steve, is that, if you think about our top 10 customers, which we've been very transparent with you guys are the largest networks and the largest cloud providers in the world, average 40-plus IBXs around all three regions in the world, many of their deployments with us are considered edge network nodes, edge nodes, cache nodes and so we're very in tune with the largest cloud providers and the networks, and where the edge of the network is moving around the world, including what Charles has said as it heads in the next wave towards emerging markets, and we continue to stay very close to that.
Colby Synesael - Cowen and Company: Great. Thank you, Steve.
Operator: Thank you. Our last question is from Simon Flannery of Morgan Stanley. Your line is now open.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. I wonder if we could talk a little bit about the market environment and the overall competitive environment. I think, at your Analyst Day you were saying that you continue to grow – you expect to grow faster than the market. Do you have any comments about what the market trend is? And perhaps, a little bit more color on what's going on with competition, we've talked a lot about Verizon selling their data center, Sentry is being selling their data centers, we've definitely seen more consolidation here and I guess, winnowing out of some of the telco providers in particular. So what's going on that front, who are you going up against in these major markets and how does that evolve?
Stephen M. Smith - Equinix, Inc.: Sure, Simon, this Steve. Why don't I start and then Charles, if you guys can add-in. From a market environment, we still tend to believe with all the triangulation of the market data we get from the industry analysts and other data points that still for our industry network neutral colocation are staring at high single-digit growth rates. And so when we put our operating plans together, we always try to build an operating plan that exceeds – that grows faster than the market growth rate. So it varies by market, we collapse it all together and our growth rates are always intended to take market share. So our belief is, coming out of the gate with greater than 11%, we'll continue to take share on top of the fact that we're spending more capital than anybody else in our sector. And so we feel like we're going to continue down that journey that we have been for several years. The competition on a global basis is very limited, it gets stronger as you get to the region and then it gets much stronger when you get to a country. And so our competition today varies depending on the requirement, if it's a global requirement, we're normally very, very well positioned. If it's a regional requirement, there is more competitors to step into a region like Asia, Americas or Europe. But if it gets to a country, there's even more competition for a requirement that's just in a single country. That's a high level way to think about it.
Simon Flannery - Morgan Stanley & Co. LLC: Yeah.
Stephen M. Smith - Equinix, Inc.: That standpoint but (1:03:06) specifically, Charles.
Charles J. Meyers - Equinix, Inc.: Yes. I'm going to add a couple of things. I think when you talk about share gains, there's always a question of share of what. I think that's a really important question, because we tend to be pretty selective about what portion of the market we are targeting and what deals where we believe we have a unique value proposition, where we're going to win workloads and customers with strong and high customer lifetime values. And I think that right now, we are capturing share particularly in this sort of premium retail segment. I would also say that candidly I think we're seeing increasing level of separation between ourselves and what most would view as our competitive set in part, because I think competitors are sort of going by the way side, the carriers are largely sort of moving away from colocation as a primary offering. And then, secondly, I would say a number of the competitors in what many would consider our direct competitive set are increasingly focused on the pursuit of wholesale footprints, which as you know, we're very selective about our pursuit of those. If there are strategic control points and we feel like we need to have them as part of the ecosystem, we'll go after them. But I actually think our competitive position is improving, because many of the folks that traditionally we brought into seem very focused on winning mega footprint from CSPs, which typically we see as very price competitive and not really particularly central part of the overall ecosystem story. So, we run into the occasional regional player, but I would say more frequently our key focus is on communicating our unique value proposition to the customer rather than winning a head-to-head battle in terms of competitive wins. And so, right now I think the competitive market is shaping up nicely for us.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Many thanks.
Operator: Thank you. I'd like to...
Katrina Rymill - Equinix, Inc.: Great. Thank you. That concludes our Q4 call. Thank you for joining us.